Operator: Good day and thank you for standing by. Welcome to the Altius Fourth Quarter and Year-end 2021 Financial Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session.  Please be advised that today’s conference call is being recorded .  I would now like to hand the conference over to your speaker today, Ms. Flora Wood, Director of Investor Relations. Please go ahead.
Flora Wooda: Thank you, Di. Good morning everyone and welcome to our Q4 conference call. You saw in our press release and annual filings yesterday after the close on website. You will see ARR’s later in the reporting period. This event is being webcast live and you'll be able to access a replay of the call along with the presentation slides that have been added to the website at altiusminerals.com. Brian Dalton, CEO and Ben Lewis, CFO, will both be speakers on this call. And then we will open it up for your questions. The forward-looking statement on Slide 2 applies to everything we say, both in our formal remarks and during the Q&A.  And with that, I will turn it over to Ben, to take us through the numbers.
Ben Lewis: Thank you. Flora, and good morning everyone. We had a strong year and quarter setting new records across most of our financial measures. EBITDA margins of 80% overall were solid and driven by an 87% margin in the mineral royalties segment, with some offsetting from higher public company costs and business development initiatives related to our renewable royalty segment.  These renewable royalty related G&A costs are expected to be offset by growing revenue profile as ARR’s royalty portfolio matures and takes on additional scale over the coming periods.  The other obvious offset here can be found in the growth of the market value of our interest in ARR. Brian will speak more about that later. It's also important to point out that when considering our EBITDA and cash flow margins that G&A and other business development costs associated with the project generation segment and directly factored into G&A, on the other hand, the $16 million of cash net of new investments received on equity sales generated by the PG business were not included in image EBITDA or cash flow from operations figures and are instead primarily recognize as other comprehensive income.  Looking at the table on Page 29 of the MD&A, reconciling earnings and adjusted earnings. You'll see we present each of the adjustment items on a pretax basis and one entry for tax deductions that aggregates all the tax impacts. If you have questions on individual tax rates for different items, we'd be happy to address those in the Q&A or offline.  On a full year basis, adjusted earnings per share was $0.77 compared to $0.36 per share in 2020. The main adjusting items are impairments of $8.9 million consisting of a Q4 $6 million goodwill write down as 777 approaches closure and a $2.9 million write down recorded in Q2 2021 associated with the write down of a Diamond Mineral Property earlier in the year. Offsetting that we had a $7.6 million gain and reclassification of the investment and Adventus and other adjustments for foreign exchange gains, gains on disposal of mineral properties and share purchase warrants.  Turning to capital allocation, an additional $35.3 million was invested in GBR joint venture by ARR to fund its share of the acquisition of renewable royalty interests, while Apollo funded approximately $98 million during the year. We expect all future investments into GBR to be funded on a 50-50 basis between ARR and Apollo.  We’ve returned $9.9 million to common shareholders in the form of common share dividends in 2021 and increased our dividend by 40% to $0.07 a quarter. We also bought back 821,100 shares under our normal course issuer bid, capped at $12.9 million. Repayments on our credit facilities totaled $17 million during here, leaving year-end balance of $117 million.  Our balance sheet and liquidity continued to strengthen during the year. We ended 2021 with $37 million in cash and cash equivalents, or $100 million when including the ARR cash as is consolidated on the balance sheet. The value of our project generation portfolio was $56 million at year-end. And our investment in Labrador Iron Ore Royalty C Corp was valued at $108 million and our 59% ownership of ARR had a year-end market value of $190 million, including the in the money value of share purchase warrants. We have 106 million in available liquidity relating to our revolving credit facility as well. Generally speaking, our near term focus remains on seeing growth emanate organically through advances across our existing asset base, rather than through M&A type initiatives. This focus remains in line with the long-term, counter cyclical investment strategies we've applied consistently and that are largely relate to the cost and availability of various competing forms of capital.  As Brian will outline in his remarks, we've been receiving increasingly strong signals of late relating to the various forms of organic growth that are developing within our business. All that said, these are uncertain times are clearly uncertain times and volatile times. And we remain well positioned and poised to deploy direct capital should an unexpected opportunity present itself.  And with that, I'll hand it over to Brian to talk about the current environment and outlook. 
Brian Dalton : Thanks, Ben. I normally really look forward to collecting my thoughts for this quarterly call an update, but this one comes with some mixed emotions. While we've been saying for several years that conditions were ripening fundamentally for our asset portfolio to really deliver, following now more than 10 years of widespread sector under investment, and resulting fundamental under supply conditions. What has now emerged to dramatically accelerate the supply demand situation we would gladly wish away if we could.  There are plenty of good reasons for the very strong prices that characterize a very commodity exposures today. But the current geopolitically driven exacerbation of the situation cannot have the word good in any sense of the word said about it. It is in fact horrible.  As a business managers, it is not our role to feel embarrassed or apologetic by the higher expected revenues and investor interest that this backdrop has resulted in. Our positioning was obviously not in anticipation of predicated upon and certainly not in hopes so this type of benefit. It is our role to grow a strong long-term business on behalf of shareholders and other stakeholders that can continue to play a supporting part in bringing the world's natural resources to now more than ever realize that it's so critically relied upon.  We can also humbly encourage you to join us, as fellow shareholders and individuals, ensuring that those who are now being hurt so directly. And the many more who will be hurt as the further negative humanitarian impacts small display out.  With that said, let's turn to discussing the business. Fourth quarter and full year both saw new royalty revenue, EBITDA and cash flow record set it obvious. There was also an excellent year for a project generation business, with several new equity positions in early stage royalties added through mineral project sales, exciting progress made with respect to certain royalties within the long-term pipeline, and strong net sales of equities recorded. On a combined basis royalty revenue and net PG sales totaled exactly $100 million.  2021 was also a transformational year for our renewable energy focused royalty platform. This is a business line that was ultimately born of the challenges we faced when much of the expected remaining lives of our Alberta Coal Power royalties were essentially expropriated by government regulations. We’re therefore very proud, perhaps more honestly stated as relieved. Now it's the obvious renewable royalties emerged so strongly as the replacement business  Following the successful earlier IPO and steady progress and growing sector adoption and capital deployment, the market value of Altius’ holding in ARR at the time of writing now totals more than $240 million. This compares to $62.5 million that we directly invested in establishing the business over its first few development years. No small measure of credit for this progress is acknowledged here the Frank Eamon led New Hampshire based operating team for their innovative thinking and remarkable work ethic. They are only getting going.  We've come to see our business over the past few years in terms of five key pillars. These include potash fertilizer royalties, base and battery metal royalties, high purity iron ore royalties, renewable energy royalties, and last but certainly not least, our original project generation business.  Potash is critical to the world meeting its food sustainability needs, as it results in directly higher agricultural leads per unit of farmland. Its increasingly important role is therefore to help feed a growing world population while limiting deforestation and other land use conflicts. Our potash royalties benefited greatly from steadily increasing prices throughout the year that were largely a function of strong underlying global agricultural demand.  We continue to experience normal lag effects and realized prices relative to spot market indicators that are typically about a quarter in duration. So some of this benefit is still ahead, and meanwhile, prices have continued to increase during the current year.  Operationally with a more mixed year in potash, and our overall attributable royalty volumes were actually down slightly, mainly as a result of the earlier than expected closing off of the K1 and K2 production areas of the Esterhazy mine due to increased water inflows. Potash is ultimately a salt that is highly soluble in water. This resulted in acceleration of the transition of mining and Esterhazy to the new K1 production area, a process that the operator of the mind, the Mosaic Company, has recently stated to due to be completed by the end of the current quarter. That will result in the resumption of historic annualized production levels.  Our other operator Nutrien was able to increase production from its portfolio of mines, as it continued to ramp up to the increased nameplate capacity it had pre invested in several years earlier. It is noted that it expects further production increases during the current year at a time when obviously the world really needs it.  I'm sure most of you are aware that the other major global potash production areas are located in Russia and Belarus. And the majority of that supply is obviously become unavailable for export. As a result of this fear that some of the world's potash fertilizer requirements will go unmet this year. A key takeaway from this should be to underscore just how important and valuable the potash mines Saskatchewan, Canada really are. Not only are these the most technically sound deposits in mine that the world has, the tremendous remaining resources. They were also the most geopolitically stable.  Considering as well the high per unit capital intensity involved with bringing on new potash production and the long required lead times from investment to realized production, we continue to believe that their risk adjusted relative value proposition is perhaps unrivaled in the entire mining industry. We have no doubt that many more cycles of investment and growth are ahead for which all the shareholders will be full beneficiaries with no share of the capital costs to bear.  Our base and battery metals royalties also performed strongly during the year, largely due to higher realized prices, a trend which is continued thus far in 2022. All key operations performed well during the year, knocking recoveries from various COVID related and mechanical issues that were experienced in the prior year.  Of particular note, were the beginning of underground production within the Voisey's Bay nickel copper cobalt district from the new Reid Brook mine and progress towards the start of mining at the Eastern Deeps mine, which is expected later this year. Also, we note the achievement of a new annual throughput record Chapada. 777 delivered well, wherever it should be noted that it is expected to deplete its resources later this year.  We've had lots of great news early in ‘22 relating to future organic growth of our base and battery metals portfolio. Adventus mining was successful in negotiating a comprehensive mind finance package with strong industry players, for the development of its copper gold rich El Domo deposit in Ecuador. It is currently working hard to complete engineering and permitting processes in advance of a final production decision. There Altius holds a 2% NSR royalty interest and commence the team at Adventus for this latest achievement.  On the mining operators, operator Chapada project, also gave an initial indication of the results of the ongoing expansion study for the mine, suggesting that it is closing in on a target of expanding mine throughput levels to 32 million tonnes per year from 24 million tonnes per year currently. Perhaps even more importantly, particularly at extreme holder level, with the recent announcement of a distinct new high grade discovery on the property within lands captured by our agreement.  Initial drill results from the swab a target that returned wide intercepts of copper gold mineralization from a zone that begins at surface and remains open in all directions. Grade indication so far suggests mineralization that is considerably richer than that currently being mined at Chapada.  has suggested preliminarily that as further work is completed and evaluated could consider options for trucking materials on the new deposit to the existing processing facility, as well as for a new incremental mining and processing center within the district. Lithium Royalty Corporation made strong progress during the year that included several new royalty financing completions, as well as seeing excellent progress within its existing royalty portfolio. LRC remains private with Altius’s a 12.6% shareholder, as well as the direct minority co-owner of certain of its royalties. At present, LRC’s portfolio consists of 18 royalties, with two of these currently producing and three more in construction, including Sigma Lithium's Groto do Cirilo in Brazil, Zijin Mining, Tres Quebradas project in Argentina, and Core Mining Finniss project in Australia.  LRC also holds a portfolio of equity and offtake provisions that relate the company for which it is royalty financed. And finally, it is noticed that during the current year, it will consider various corporate level options that include a potential sale of public offering.  Turning to high purity iron ore, we had strong revenue growth related to our indirect royalty exposure to the Rio Tinto controlled IOC Mining Complex in Labrador, which produces high grade concentrate as well as full blast furnace and direct reduction pellets.  Benchmark iron ore prices averaged higher year-over-year, but we're also quite volatile, reaching record levels to the first half of the year before falling heavily too much in the second half. It began to recover late in the year and have continued to rebound strongly thus far in 2022. Quality base premiums and discounts relative to benchmark also continued and now multiyear pattern of increased widening, largely as a function of increased recognition of relative carbon output within steelmaking cast structures.  High purity or types are therefore becoming increasingly valuable, because they result in lower carbon penalties per unit of steel production, since they require less net coal additions. But this factor now in addition to the more traditional benefits related to higher iron ore content, reduce coal procurement costs, and plant efficiency benefits.  To put some of this in context, we've noticed that over the past three years, the average spread between low-end or 58% iron ore and high quality or 66% iron ore has increased from 28% to 56%.  Production at IOC was lower in 2021 however, with the operator citing labor and mechanical availability with the main challenges. Its guidance for the current year suggests an improved production outlook with various recent debottlenecking and ore development investments are realized upon. It also noticed that a new CEO has been hired to lead the operational improvements and overall strengthening of the operations, which we sense are becoming increasingly important to the offsetting of quality declines within Rio Tinto’s broader iron ore portfolio.  We are also looking forward to results in Champion Iron ore related to its ongoing reengineering and rescoping of the Kami project, which was originated by Altius and over which it holds a 3% GSR royalty. This project is located near to both the IOC mining complex as well as Champion’s existing Bloom Lake operations. One key elements of this work relates to further increasing maturity levels of the iron ore concentrates it can produce to levels that could allow it to serve the growing electric arc furnace bass steelmaking sector. EA furnaces require no coal input during steelmaking. Champion has stated that it is expected provide updated feasibility results for Kami towards the end of the year.  We've already touched on ARR had strong 2021. So not much more needs to be added there. Thus far in 2022, we continues to be very busy with advancing new investment initiatives. The adoption of the royalty model takes broader hold within that sector. It also expects to see a meaningful buildup of royalty revenues from its existing portfolio of operating assets and solid progress across many of its development state project interest. I would encourage interested shareholders investors to review the details of its direct annual and quarterly reporting and commentary that was issued late last week.  Our project generation business is essentially our direct exploration arm through which we seek to organically grow our long-term royalty pipeline, as well as benefit from exposure to public junior mining sector. What we do there basically is generate mineral projects and sell them on to typically junior mining companies in exchange for equity positions and royalties. The value of the junior equity portfolio increased to $55.5 million at year-end from $52 million at the end of 2020. This however, does not include the further realization of $16 million in net proceeds from the portfolio, which is the total of investment monetization relative to new investments completed during the year. I wish to commend the PG team for this performance, particularly since 2021 could not be considered a particularly strong year for the junior mining sector. Despite the general strength of metal commodity, the TSX Venture Exchange was actually down on the year in fact, just underscoring how strongly the team performed with their management.  Another key performance indicator that the PG Group tracks was the amount of exploration focus drilling that occurs across its equity and royalty portfolio. It's a bit of an intangible, but we think it may be the most important long-term indicator of optionality and free growth that really exists across our business. In 2021, we estimate that 225 kilometers of drilling were completed, and our preliminary estimate for 2022 currently stands at more than 300 km.  And definitely last, but certainly not least, we highlight a very recent announcement by AngloGold Ashanti related to the silicon project in Nevada. Altius has a 1.5% NSR royalty on this project that relates to a grubstake type agreement that resulted in the origination of the project several years ago. AngloGold has announced a significant major maiden resource from the oxide portion of the central silicon deposit, while noting that further mineralization exists in an underlying sulphide zone. And also that a further discovery at the Merlin target to the immediate out of Central silicon has been made.  It is further outlined in this published materials and an investment presentation that sees the district is representing a tier 1 opportunity. But its preliminary development strategy envisioning conservatively, more than 300,000 ounces per year of gold production for more than 15 years.  So that concludes my remarks or if it was a little lengthier than usual. Obviously, there's been a lot happening. And with that, I will turn it over to your questions. Thank you.
Operator:  Your first question comes from the line of Orest Wowkodaw of Scotiabank.
Orest Wowkodaw : Well. Hi, good morning. It's Orest here from Scotia. A couple of questions if I could about the potash business. Obviously, we've seen pricing really accelerate recently on geopolitical events. Can you give us a bit of guidance on based on the ramp up from Nutrien and the saturation there? What kind of volume do you think this business your share could look like in 2022 and ‘23? And the business looks like it's been tracking around 1.7 million tonnes for ’20 and ‘21. Just wondering how much upside there is to that number based on increasing volumes coming from Nutrien?
Brian Dalton : Yeah, well, current operational capacity, which seems very likely to run at peak this year. I believe there's somewhere around 50% remaining between that and nameplate capacities. Now no work has to be done ready to make that operational. But I can't imagine there are enormous pressures of all types on Nutrien to accelerate that now.  The only caution I'd have in just trying to do a straight take whatever that differential is and apply it to other attributable revenue there, is to make sure you account for the varying royalty rates that we have across some of the assets. I think with Nutrien, we are exposed to five of their six major mines. But we have varying interest by mine. So to the extent that volumes increase on a mine that we have a higher royalty interest on will have an outside benefit and the same is true inversely.  Last year on our Investor Day and the presentation is still up on our website. We get into quite a bit of detail around our how much capacity was left at each mine as well as explaining what our direct royalty exposure is to those mines? That'd be the best resource there I think was. By  off the nameplate, it's anybody's question, this is obviously a very geopolitical one. But the world could certainly use every bit of it right now they can bring it.
Orest Wowkodaw : So maybe I could ask it a different way, assuming Nutrien ramps up to full capacity. What does that mean for you with respect to attributable volume?
Brian Dalton : More or less 50 from here?
Orest Wowkodaw : From the 1.7, okay.
Brian Dalton : Yeah, that'd be my math. I'd have to confirm. But that would be -- if you just look at current operational capacity relative to nameplate capacity, that's around what I think is remaining today. 
Orest Wowkodaw : Okay. Okay. And then on the realization related to the potash price. You mentioned earlier that there's about a one quarter lag. And we've seen a fairly big kind of discount to the benchmark, because the price has been rising. But, can I assume that once the sort of price steadies out wherever that maybe, that there should be -- your realization should be at no discount to the benchmark outside of timing this one quarter timing lag? Or is there some kind of call it perpetual discount that we should think about for potash ---
Brian Dalton : No. Not a perpetual discount or perpetual lag is all you really need to think about. In fact, if you go back to the period, say 2016, or so maybe true ‘18, I don't know. There's a stretch in our history of ownership, we were in falling prices. And in that case, we were actually realizing higher than spots. So, as you know, it works both ways. It works both ways. It's just that obviously, in the past year, year and a half to move has been very dramatic and upwards. So I mean, I agree. You look at spot prices, and then at our realized price, that seems like wow, they really -- it’s discounted but it's just how much the price moved in that period is all it really is.
Orest Wowkodaw : Excellent color, Brian. 
Brian Dalton : All right, cheers.
Operator: Your next question comes from the line of Carey MacRury of Canaccord Genuity.
Carey MacRury : Good morning, Brian. Maybe just another question on potash here. You had the big step up in Q4 again through the leg. And I'm assuming we should see another big step up in Q1 here. And just given the Q1 mostly -- we're almost through it. Do you have a sense of maybe just more short term, what Q1 potentially looks like, relative to Q4 on the potash side in terms of revenue?
Brian Dalton : As far as like, again, if you're trying to be predictive around that, does actually mean the -- the potash we received royalties on goes through a whole bunch of markets. And so really, that the calculation is based on an FOB price in Saskatchewan. So a tonne sold at under a long-term contract with more freight on it, won't realize as much as it was one sold next to the mine in Saskatchewan.  There's a whole bunch of factors in there. That said, it tends to really closely follow Midwest U.S. prices. That's been consistent since we own it. If the product mix and where it goes in the world shifts dramatically, I'm sure that would -- that correlation would break down. But for now, what we're seeing is that you take the average price of the last quarter for U.S. Midwest, it tracks remarkably well. So I can't be any more leading than that. 
Carey MacRury : That's fair. But I guess just given that math, we should see a pretty reasonable step up and in Q1 at a minimum.
Brian Dalton : There's no real reason to believe that our realized pricing in first quarter won't look something like the spot pricing in the previous quarter. 
Carey MacRury : Okay, fair enough. Maybe switching gears to renewables. Just in light of the APAC’s news, can you just comment a bit about that and just sort of how does that change the outlook for renewable investment? 
Brian Dalton : There have been some shifts. We talked about this on the ARR call the other day. Again, when we got going with renewables first, we were originally attracted and thinking that what we were doing is financing sort of construction stage projects with royalty finance. And we weren't able to do much there because competing cost of capital is just too low. But we did find good opportunity with developers who had a harder time.  And there's been a remarkable shift there in the past year or so. It's actually gotten quite a bit easier for developers to attract capital. And there seems to be huge demand for big players to buy their entire portfolios. So, obviously, they're in windfall times, but it's not super attractive for us as far as deploying capital.  What's offset that ironically, is that it's gotten tougher and more expensive for construction stage projects. And party that's a function of a very quickly growing aversion to locking in and hedging prices, like their low cost of capital, that was the backdrop when we got started was as much a function of anything of the fact that they had everything hedged out, meaning that they could put pretty high leverage and they were very attractive to pension type infrastructure type investors. As they come off of that, realizing that prices really can only go in one direction for renewable power there and want more market based exposures and reduces the amount of everything on a project. So basically means more money has to come from the equity side of the ledger. And so that's what we're able to compete quite effectively with. And so we're seeing a lot more deal flow for investment in projects that are either late construction or operational stage.  So it's not, I don't know, I mean, all these things can reverse the game very quickly. And we'll essentially just roll with the punches. But for the time being, that's the shift we've seen in the past year. And that's essentially how we responded. So, again, I'd see more opportunity for near term deal flow in later stage. And obviously, the benefit there is that it's more immediately cash flowing type investment opportunity. 
Carey MacRury : Okay, great. And then maybe just one last one for me. I noticed in the MD&A, you're talking about IOC and the potential to expand the mine life there. Just wondering if you can give a bit of color on what you're what you're seeing there. 
Brian Dalton : For IOC, I don't know if this is much about the mine life. That just opened up a new big area that's finished permitting that early last year. I mean, obviously, it will incrementally add to the overall mine life. But as much as anything, my understanding is that it just brings in a slightly different rock hardness into the mix so they can better optimize the overall blend going into the front end of the mill. So there -- that's meant to have, obviously yes longevity benefits. But as I think operationally, it's meant to be important too.  There's a lot of resource ultimately, up on that project. It might not all show up as reserves. But if you just look at the geology and historic broader resource estimates, there's really no reason why IOC couldn't run as multiples of its current production rate and still have a very, very long mine life. And maybe we're getting into those conditions now, with such increased emphasis on high quality ores that that becomes on the table, but we haven't heard that from IOC directly. But it would seem quite logical in fact. Particularly if you consider that recently, IOC -- Rio Tinto has started to use concentrates from the Labrador trough to blend some of the lower quality material that's coming out of their Australian production. In essence, they're using Labrador material to make the worst part of the Australian production even saleable. I think it has taken on a greater importance within the organization overall. But again, I'm waving arms and speculating, but I don't think I'm being illogical either. 
Carey MacRury : Alright, great. Thanks. And congrats on a record quarter and year. 
Brian Dalton : Thank you, sir.
Operator: Your next question comes from the line of Craig Hutchison of TD Securities.
Craig Hutchison : Hey, good morning, guys. 
Brian Dalton : Hey, 
Craig Hutchison : My question is on silicon. You guys announced our -- sorry, AngloGold Ashanti announced a main resource for the project around 3.4 million ounces. But my understanding it also -- your royalty also encompasses North Bullfrog as well. Any sense of what the sort of total resource for that package is at this point? Or is it just too early? 
Brian Dalton : Well, I mean, there's things you can compile. I don't know what categories and whatnot they've been. But I think Corvus used to talk about North Bullfrog total resource in the 2 million 2.5 million nouns category. We've obviously seen what 3.4, I think announced for Silicon Central. And that's just the oxide part that doesn't take in sulfide zones beneath that Anglo’s already said that they've discovered. And probably the bigger mystery factor is the Merlin target, which is sold to Central Silicon.  We've got a number in our mind for that, but it's our number. But all we've done, anyone who's really industrious is that deposit essentially straddled the property boundary to the south. And in fact, very much seems like it goes on to land held by core.  Within there's a narrow strip in the middle, that was held by Corvus. And Corvus did publish results. So they drill the section right across that. So for any geologist that want to have some fun here, you can start to look at the drill pattern that Anglo has across the Merlin zone, and do some extrapolation up from the results that Corvus provided for the Lynnda Strip section. And, yeah, so we have guess, but I don't think it'll be all that long before we actually get real numbers. We think it's meaningful.
Craig Hutchison : Okay. And so obviously, it would be very meaningful royalty to you guys. Would you guys consider kind of monetizing that in favor of base metal royalty at some point this year? Or is it just too early again on that?
Brian Dalton : It's early for that. I mean, we've got a bunch of options there. First and foremost, being just letting things play out and let the full scale of the resource become better understood. It’s pretty early days for what looks to be a major new district discovery in Nevada. And, presumably that revenue contribution could be meaningful to us. I mean, I know where you're going with this, it's unlikely that a royalty on a major gold discovery in Nevada would be valued as highly within Altius, as it would be within say a pure, precious metals company.  There's other alternatives as well, meaning we could liberate it from Altius Minerals as a more pure play vehicle sort of ARR, like. Sure we consider any kind of creative structures, if we can capture that arbitrage between how this type of asset might be valued within Altius and other companies. But no real hurry there. There is lots of fun to be had just watching this play out for now.
Craig Hutchison : Okay, great. And then one last question for me, just in terms of the Lithium Royalty Corp. I think you mentioned in your opening remarks, potential sale or something this year, or any additional color on what could kind of crystallized value for that asset will be appreciated. Thanks.
Brian Dalton : Yeah, I guess it's just part of sort of normal course exploring of options, but LRC is amongst its options here considering potentially selling the business or IP owing. And I know, there's been a lot of street interest in that IPO concept. So I don't know if it happens. And we're 12.5% shareholder so it's not our call. But to the extent that it does, it could be quite a crystallizing event for us. Obviously, that business since we invested has undergone remarkable growth, and has also benefited from a complete new outlook on what the long-term price of Lithium should be. So if it were a crystalline -- if valuation were established and crystallized here. We'd expect to be pretty happy about it.
Craig Hutchison : Great, thanks, guys. 
Brian Dalton : Thank you.
Operator: Next question comes from the line of Brian MacArthur of Raymond James.
Brian MacArthur : Good morning. I'm sorry to do this. Just go back to the potash, because you made a comment about double capacity or effectively, which I think is referring to the entire capacity of this system. But as I think about this going forward, obviously the biggest royalties on Rocanville and Esterhazy, and then Vanscoy, Coronel are lower. So that 1.7 million tonnes that Orest was referring to, should I assume -- am I think of it this right that, currently utilization of Rocanville is quite high. You get a big royalty there, it'll probably go up a little bit to do a big kick there.  Then K3 come, which again, you have a pretty good royalty on there, so that that growth rate will probably be a little higher in the near term from those big mines before the capacity gets filled up. The smaller mine where you get a lower royalty, is that kind of the right way to think about it? 
Brian Dalton : Yeah, but there's there's more factors. Two years since we've owned these royalties, we actually saw a higher growth rate and attributable volumes than the total network say within Nutrien and Mosaic we're indicating. And it was because there was outside growth coming from Rocanville and Esterhazy, which are obviously low copper mines in the system. So it's logical that they get filled out first.  So, it was an outsize relative benefit us to the extent that they completely fill up, and you're going down the food chain into higher cost assets down the line, that that will probably even lag the overall portfolio production rate, growth rates of the of the operators.  But there's more to it than just filling up one mine capacity, because it's the lowest cost. And then moving on to the next the next. I mean, there's a whole lot of things being managed, including different product types, labor availability, equipment availability. I think it's a much more delicate management act within -- for those portfolios overall.  So, look, I think the safe way to do it is to just again, look at the nameplate capacities of the mind, compared to how much of that has been commissioned as operational. And the delta there's the sort of the opportunity set that's been pre-invested in and funded.  And your -- again, I've tried, don't worry. But it's impossible, I think to actually really be that predictive here. There's just so many factors. So, I just look at it now that overtime, I'd expect that nameplate capacity to fill out why wouldn't it be invested in that for a reason?  I tell you, what I look more towards here now is, when I look at the pace at which volume has been growing within the portfolios. We're not far away from all that nameplate capacity potentially being reached, as I think most people think. And, recent events notwithstanding that, quite frankly, we could use all of it right now as the world we're probably going to -- we're going to be talking about famine this year because of this stuff.  But the other thing to remember here is that you can't just then decide, okay, well, we'll go ahead and we'll make an investment to further grow out to capacity. We're getting up against nameplates now, and now we got to go again. We don't make that decision would be reviewed having the capacity available in six months. It's more like seven or 10 years.  So, these guys -- we've got to start thinking about -- if the goal is to hold markets long-term, or grow markets here long-term, they've soon got to start thinking about this. Maybe even now--because again -- otherwise, there will be a gap. Again, if that if that capacity is filled out and projected to fill out completely in seven years, you're probably already at the limit. It's not too late.
Brian MacArthur : Great. That color is very, very helpful. And maybe just switching to a couple other things. Is there any update on the coal litigation? I assume even in this world, you don't assume that's coming back or anything? But I don't know. Maybe that option still is there. But any update there would be useful?
Brian Dalton : No, it's very much alive. So we had a hearing, I think it was in early December. That was the challenge. There was a lower sort of judiciary body that originally granted. There was an application made by the governments to have it thrown out essentially, which was in this lower judiciary body grant, which we of course appealed. And so that was heard in January, or December. We're still waiting on the outcome of that. For anyone who's really interested in this sort of stuff, there's also important I think, right now to be tracking your current Supreme Court case that's underway. It's been heard and waiting for results on it.  But it really deals with this issue of what constitutes an effective expropriation or regulatory expropriation. It's been a kind of an open issue in Canadian law for some time and cases has gone through that to probably set Lincoln Simpson  up once and for all. And I expect our fortunes are very tied down what the result of that might be. But still very much alive. We believe these were . We are pursuing compensation for it.
Brian MacArthur : Sorry, that's very helpful. But I also just -- I mean, there's no chance in your view that Sheernes or something might come back given the situation the world's getting us in with the price of other commodities alternative?
Brian Dalton : I mean, technically here Sheernes, Genesee, they don't. They're on a path right now to convert the gas. And it's actually well in advance of the regulatory deadline that they have to stop burning coal, which is 2029-2030. But they've invested more proactively around that and said, look, we got to go, we might as well go. And so they took the compensation money, they were granted by the governments and they've invested in conversion.  Genesee is in the process, Sheernes essentially complete. But I don't know exactly know if Sheernes they've maintained the optionality to keep -- to flip back to coal, if conditions warranted. I'd have to get back to you a little bit on that. But I would note that while there's been some move in the price of gas, because that's really the -- it’s a pure economics that you're factoring in here. It's going to be -- it’s the cost of me mining my coals, what's the carbon tax on top of that relative to what's the cost of buying gas? And what's the carbon tax on top of that, that's the pure economic equation.  But gas prices are certainly in Alberta, and during the 5-ish kind of range right now. But we're not talking about European type gas prices here as a competing fuel. Carbon to call Brian who knows. Strange world trying to figure things like that in.
Brian MacArthur : I just looking for you and other optionality in the portfolio that nobody thinks. Anyway. Thank you very much for all the color. I appreciate it. 
Brian Dalton : We love hearing those ideas. 
Brian MacArthur : Great. Thank you very much. 
Brian Dalton : All right. Cheers. Thank you.
Operator: Your next question comes from the line of John Tumazos of John Tumazos Research.
John Tumazos: This is John Tumazos. I hope it was me, they invited to make a question. Hope you’re all well, thank you. As long as they don't curse me out, I don't care what they call me. In terms of the iron ore assets in Eastern Canada, as mining people, we might focus on the reserves and resources, but the logistics are also important. How much is the slack capacity on Rio Tinto’s railroad an asset to your  port to support potential expansions at IOC or the Champion assets with Kami in the North project and other things being explored? How's the -- geology is good, how good is the logistics?
Brian Dalton : Yeah, lots of resource there. From a logistics point of view, rail is not a problem. And I haven't really looked at that in a while. So I can't give you exact numbers. But I'm going to say that, you could easily double total capacity from the region right now, and probably with some modest investment and sidings go way beyond that.  Ports, you've got the multiuser port that has extra capacity on it. And it's got lots of room for further expansion. Rio obviously has its own port facilities. If there's a near term constraint, and this might surprise some people, it's probably hydropower. These are some capacity and room there.  I know that there is no there was a block that was allotted for Kami, when it was previously brought forward for that kind of mega scale, expansion. For anyone who's familiar with the region and knows how much is -- how much gets talked about in terms of hydropower and politics and projects and everything else to hear that it actually that is the limiting factor will probably come as a shock. But today, I would say that's it. 
John Tumazos: Thank you. 
Brian Dalton : Thank you.
Operator: Your next question comes from Adrian Day from Adrian Day Asset.
Adrian Day : Hi, Brian. My questions have already been answered. I'm really sorry. I didn't have to take myself out of queue. But thank you. 
Brian Dalton : Thank you.
Operator: I'm showing no other questions at this time. I'll turn the call back over to Flora.
Flora Wood: Thank you, Di. And I'm asking a couple questions from shareholder who couldn't join the call because of timezone differences. And first one Brian, is in the MD&A, In the capital allocation section, we got a mention of a $5 million investment convertible loan that's made to Invert Inc., which is a carbon credit solutions company. And he's asking how you see that opportunity? Is it potentially a large opportunity?
Brian Dalton : I don't know if the particular investment represents a large opportunity. But we have been studying what's going on with the, I guess, the voluntary and then as well, the interaction between the voluntary and regulated carbon markets. And I don't really think there's much left to debate about the scale that that market overall is likely to take on. In fact, in terms of total traded dollar value, I think it's going to rival some of the big mine commodities of the world before too long.  So it's interesting to us. And obviously, that market and its dynamics have lots of impacts on our business. I mean, you only got to think back to what we went through with the coal and obviously, our direct involvement now in the renewable space, we'd be silly not to be thinking about that. So we've made this investment.  We think it’s a really good, strong technical group in many ways to help motivate our ongoing learning, but it is a market more broadly, that we're interested in. Because we think it could emerge as something that very easily fits and dovetails with our other interests. But it'd be early days to go and try to say that it's the next ARR or something like that.  It's a bit more exploratory at this point. But we really like the team there. It's an early stage there.
Flora Wood: Thanks, Brian. That's actually a good read because the other questions about ARR. And it's about the upside in a royalty. So we've got U.S. renewables investments, the shareholders pointed out that there's been a lot of news about Bitcoin and crypto mining with renewables being the power source in Texas, for example. So wondering about the scope of our royalties, would it encompass that?
Brian Dalton : I know, presentations I've done with Frank. He often joked that if they sold hunting licenses on the properties, we'd -- our definition of gross royalty would capture that. But probably the way I think about that question more broadly, is one of the huge challenges in renewables in the U.S. right now is a real backlog in terms of getting interconnected to grids. There's just so many of these projects trying to connect that it's -- it is a quite a current bottleneck. And so what you're seeing as a response to that, in some cases is kind of a trend towards more behind the meter type development.  In other words, the wind farm is right there, but it can't connect to a grid. So the response then is Amazon or somebody built a datacenter right next to the wind farm, and they become more directly integrated. And that way you can get away somewhat from the whole interconnection challenge. So to the extent that that direct customer, that dedicated customer, I suppose ended up right on the royalty lands. But I don't think that's a real practical way to think about it. It's probably more likely that -- a Bitcoin firm or data center would be located somewhat distally from the front of the site. So our definition of growth revenue relates directly to the site -- the physical footprint.
Flora Wood: Thanks, Brian. Di, I think you got one other question there.
Operator: Yes, we have a question from Peter Grosse of -- and he is a private investor.
Unidentified Analyst: Hey, Brian. Am I live? 
Brian Dalton : Yes. 
Unidentified Analyst: Hey, Brian, I got on the call just a little bit late. So I don't know if you've touched on this. I apologize if you did. But you keep building up this cash. I saw you retired about 2% of the stock last year. What's the official word if there is an official word on your plans to continue that program buying back shares?
Brian Dalton : We normally in May tackle sort of new direction or any kind of adjustments we're going to make to broader capital allocation. So we're scheduled for that around the time of the next quarterly meeting with a strategy session. But generally speaking, the broad categories are, what do we see in terms of near and longer term growth? How do we feel about leverage levels? And that might be bit more topical this year, because I guess, who knows what's going to happen with what interest rates in this environment. And obviously, shareholder capital return. So regular dividends, special dividend, buybacks, all those things are, are in the mix.  For sure, one of the priorities, though longer term is going to be just further strengthening the balance sheet and being poised for longer term opportunity. But I'm sorry, I don't really -- I can't really like specifically say over, we've got this much allocated to this. And we're going to buy this many shares. But quite frankly, our buybacks are not really like that. We don't just say we're going to put this much money into the buyback every year. We tend to look at it a bit more. Opportunistically. We almost look at our buyback in the same way we look at M&A. So we're -- when we when we buy shares of all PS, we look at it as if we were buying hold the whole company.  But anyway, stay with us for a little bit on that. And towards May -- in May period, I think we'll have a lot more clarity on what we see as near term capital allocation.
Unidentified Analyst: Brian, from a shareholders perspective, I like the fact that our interests are aligned with your interests. Can you --
Brian Dalton : Here you go well. As long as those interests are both short term and medium term, and long-term interests align, we're all going to be happy together. 
Unidentified Analyst: Thanks. 
Brian Dalton : All right. Thank you.
Operator: Your next question comes from the line of Carey MacRury of Canaccord Genuity.
Carey MacRury : Hey, Brian. Just had a couple of follow ups here. First, just on the Fairfax warrants, obviously, in the money here. Can you just remind us what the trends around those warrants are? Is that something that they would exercise or what the expiry date et cetera? 
Brian Dalton : They can exercise that anytime quite frankly. The way the original agreement, so that would have been back in ‘17. We -- the strike price on the warrants is 15. I think we did stock was just under that. And yeah, so it's a $15 exercise price. I think the way it was meant to be it would expire, they would expire in April of this year, except in the event that the share price is $24 or higher, in which case they would naturally extend for two years. 
Carey MacRury : Okay, so you're currently seeing about $24. So --
Brian Dalton : Exactly. We shall see. But look-- 
Carey MacRury : And then I guess --
Brian Dalton : But from a perspective of that. I'm just obviously tickled pink that it's worked out so well for Fairfax and remind everyone that the main part of that deal was $100 million preferred investments that Fairfax made, which ultimately resulted in buying our position in Labrador, half of the potash and seed funding and renewables business. So if ever there was a win win deal in the world, this was starting to feel like. And I would also say that it Fairfax were to exercise towards at least every indication I've had in the past that the goal there ultimately would be just to slide into the position of long-term shareholder. 
Carey MacRury : Great, great. And then maybe one other question. Your market caps pushing on a billion dollars now. Have you guys looked at as the potential for like index inclusion, given that larger size or is that something that -- is there an opportunity there that you look at? 
Brian Dalton : Actually it’s a good point. I didn't raise in the quarter, it's kind of funny when it happened. We didn't expect it. But we recently were added to the Canadian Dividend Aristocrats Index, which was kind of niche. I don't know Carey, to be honest, which I haven't really tracked what the inclusion mechanisms are. And I don't think we actually get to have much influence or saying. But you may be right maybe a billion dollars could be a magic number for some of those types of inclusions. But there'd be people in your industry probably better able to speak to that to me. 
Carey MacRury : Great, thanks, Brian. 
Brian Dalton : Cheers.
Operator: I'm showing no further questions. Are there any closing remarks?
Flora Wood: That's great, Di. We’d really like thank everybody for joining. The questions were great. And we'll look forward to talking to everybody shortly in Q1. 
Brian Dalton : Thanks everybody
Operator: Thank you. This concludes today's conference call. You may now disconnect.